Operator: Good afternoon, and welcome ladies and gentlemen to the Acacia Research First Quarter Earnings Release Conference Call. At this time, I would like to remind you that this conference is being recorded and all participants are in a listen-only mode. At the request of the company, we will open up the conference for questions and answers after the presentation. I’ll now turn the conference over to Mr. Paul Ryan. Please go ahead, sir.
Paul Ryan: Thank you for being with us today. Today’s call may involve what the SEC considers to be forward-looking statements. Please refer to our 8-K which was filed with the SEC today for our forward-looking statement disclaimer. In today’s call, the terms we, us and our refer to Acacia Research Corporation and/or it’s wholly and majority-owned operating subsidiaries. All intellectual property acquisition, development, licensing, and enforcement activities are conducted solely by certain of Acacia Research Corporation’s wholly and majority-owned operating subsidiaries. With me today are Chief Financial Officer, Clayton Haynes; General Counsel, Ed Treska; and Executive Vice Presidents, Dooyong Lee and Matt Vella. Today, I will give you an overview of the progress we are making in building the business and Clayton Haynes will provide you with an analysis of our financial results. We will then open the call for questions. Acacia continues to build its leadership position in patent licensing; and during the first quarter, generated record revenues of $99 million, an increase of 62% over last year’s first quarter. Acacia also improve its key performance of metric of trailing 12-month revenues to a record $223 million. Acacia invested $152 million in new patent portfolios during the quarter and finished the quarter with $452 million in cash and investments. We generated the $99 million in first quarter revenues from 40 new revenue agreements covering 32 different licensing programs including five new licensing programs generating initial revenue. We have now generated revenues from 117 different licensing programs. During the quarter, we licensed technology patents to Amazon.com, Hitachi, IBM, Microsoft, Nokia Siemens, SK hynix and Samsung. We also licensed automotive patents to BMW; industrial patents to Stanley Black & Decker; and medical technology patents to Abbott Labs and Philips Electronics. During the quarter, Acacia acquired control of five new patent portfolios including the 100% acquisition of ADAPTIX, a pioneering company in the development of 4G technologies for wireless systems, which owns 230 4G patents. We also acquired new patent portfolios covering online user registration technology, optical networking technology, catheter ablation technology and a portfolio of over 300 patents for automotive safety, navigation and diagnostics technologies, from Automotive Technologies International. We continue to increase future shareholder value by acquiring control of significant patent portfolios that now control 212 different patent portfolios. Acacia established business by partnering with patent owners taking control of licensing activities and splitting the licensing revenues 50/50. Our successful track record in generating revenues for patent owners has accelerated new business opportunities. We are fortune to have built a market leadership position in patent licensing at a time when patents are rapidly becoming a new asset class. There are two major market trends which are accelerating our business opportunities. The first trend is the growing number of companies worldwide who are deciding to generate revenues from their patent portfolio. There is a rapidly increasing awareness in boardrooms across the world that their managements need to generate returns on investment from shareholder capital that has been invested in R&D. The recent sale AOL’s patent portfolio to Microsoft for a $1 billion; and last year’s sales of Nortel patent portfolio for $4.5 billion; and Google’s $12.5 billion acquisition of Motorola Mobility have served as wake up calls to all companies, and is accelerating this new trend. We are also observing that large companies are becoming focused on their IT balance and payments and realize they need to generate financial returns from their own R&D investments to offset their growing IT payment obligations to other companies. As a result of this trend, we’re seeing significant increase in partnering opportunities with large companies. Acacia’s partnering model is very attractive to companies who want to generate financial returns from their patent without having to create a distraction to their core business, be involved in litigation or having to make additional investments of capital and human resources to earn those returns. Our corporate partners recognize that we have built a highly specialized company for patent licensing and have build a proven track record in generating revenues. The second major trend which is accelerating our business is the growing complexity and cost that is required for small entities, such as individual inventors, research centers, universities and small companies to be able to license (inaudible) patent on their own. As a result of a number of recent court ruling and the recently passed patent legislation, we’re seeing increased partnering opportunities with these small entities who need an expert partner to generate licensing revenues from their patents. We have delivered great results for many of these small entities over the past few years and our reputation for generating revenues even after their own efforts were unsuccessful has repeatedly demonstrated our value to these partners. As a result of these two trends, Acacia’s pipeline of potential patent portfolio acquisition is continuing to accelerate. We are also seeing a major new growth opportunity for Acacia’s business and becoming 100% owners of important patent portfolios like the ADAPTIX 4G patent portfolio. When these patent portfolios come into the market, the impact competing companies and major markets, Acacia can acquire all the patent assets and selectively sell certain patent assets or license each of the company’s only the rights that needs. Major companies are seeing that this is a much more efficient than for them having to pay for all market rights when they only have limited market share and they’d have to give away substantial portion of the value to their existing cross-licensees, as well as facing regulatory and legal issues when attempting to recover the balance of the value from their competitors. Acacia has an opportunity to bring efficiency to the market by providing a market clearing function and selectively licensing the rights that each company needs. This provides an opportunity for us to expand our profit margins on portfolios where we do not need to share 50% of the licensing revenues. We’re also seeing a significant trend in our ability to generate a growing percentage of our revenues from non-mitigated licensing agreements. This has an accretive impact on our margins given the legalities have historically been around 20% of our gross revenue. Last year we grew revenues from non-mitigated licensing agreements to 25% of total revenues. In the first quarter of this year, we generated over 50% of our revenues from non-mitigate licensing agreements further enhancing our margins. We’re also expanding our business platform into additional markets and began to build significant base of patent in the medical technology and automotive markets. Our quarterly revenues will continue to be uneven given the nature of our revenues and we are very appreciative of the work the investment analysts covering Acacia have done in giving the investment community the appropriate perspective for measuring our company’s performance. The analysts have focused investors on the fact that our quarterly revenues can be very uneven given the timing of certain licensing transactions and that more meaningful measurements are the 12-month trailing revenues and projected annual revenue growth. With that I’d like to turn the call over to our Chief Financial Officer, Clayton Haynes.
Clayton J. Haynes: Thank you, Paul, and thank you to everyone joining us for today’s first quarter 2012 earnings conference call. As indicated in today’s earnings press release on a consolidated basis, revenues in the first quarter of 2012 increased $37.9 million or 62% to $99 million as compared to $61.1 million in the prior year quarter. First quarter 2012 revenues included license fees from 40 new licensing agreements covering 32 of our technology licensing programs as compared to 35 new licensing agreements covering 32 of our technology licensing programs in the prior year quarter. For more details, please refer to today’s earnings press release for a summary of technology licensing programs contributing to revenues during the quarter. We continued our trend of strong trailing 12 month revenue growth with consolidated trailing 12 month revenue increasing 21% to $222.6 million as of March 31, 2012 as compared to $184.7 million as of the end of 2011. Currently, to date on a consolidated basis, our operating subsidiaries have generated revenues from 118 of our technology licensing programs, up from 99 technology licensing programs as of March 31, 2011. License fee revenues continue to fluctuate from period-to-period based on the various factors discussed on previous earnings conference calls and in our periodic filings with the SEC. For the first quarter of 2012, Acacia reported GAAP net income of $50.1 million or $1.09 per fully diluted share versus GAAP net income of $12.4 million or $0.34 per fully diluted share for the prior year quarter. First quarter 2012 non-GAAP net income which excludes the impact of non-cash patent amortization charges, non-cash stock compensation charges and the excess benefit related to non-cash tax expense of $67.9 million or $1.48 per diluted share as compared to $19 million or $0.52 per diluted share for the prior year quarter. Please refer to our disclosures regarding the presentation of non-GAAP financial measures in today’s earnings release and 8-K filed with the SEC. Our average margin defined as gross license fees less inventor royalties and contingent legal fees for the portfolios generating revenues during the period was approximately 89% for the first quarter of 2012 as compared to 63% for the prior year quarter. Average margins continue to fluctuate period-to-period based on the mix of patent portfolios that generate revenues each period, the terms and conditions of license agreements executed each period and the related economics associated with the underlying inventor agreement and contingent legal fee arrangements if any. Inventor royalties expense for the first quarter of 2012 decreased 42% to $7.6 million versus $13.1 million for the prior year quarter. Contingent legal fees for the first quarter of 2012 decreased 60% to $3.7 million versus $9.4 million for the prior year quarter. A significant portion of first quarter of 2012 revenues were generated from patent portfolios that our operating subsidiaries own out right without inventor royalty obligations and a significant portion of first quarter 2012 revenues were generated without litigation contributing to the 49% decrease in inventor royalties and contingent legal fee expense on a combined basis as compared to the 62% increase in revenues when compared to the prior year quarter. Net results for the first quarter of 2012 as compared to the first quarter of 2011 also included the impact of a 37% increase in marketing, general and administrative expenses due primarily to a $2.2 million increase in non-cash stock-based compensation charges resulting from an increase in the average grant date fair value of restricted shares expensed in the first quarter of 2012 as compared to the prior year quarter, a net increase in licensing, business development, engineering and other personnel since the end of the prior year quarter and an increase in variable performance-based compensation costs. Tax expense for the first quarter of 2012 as compared to the prior quarter included the impact of the following. An increase in foreign withholding taxes of $4.4 million which are withheld by the applicable foreign tax authority on revenue agreements executed with third party licensees domiciled in certain foreign jurisdictions. The first quarter 2012 tax provision contemplates utilization of the $11.8 million in foreign taxes withheld in the first quarter of 2011 as a credit against income tax expense calculated for financial statement purposes. In addition, as discussed on previous conference calls for financial reporting purposes, tax expense is calculated without the excess tax benefit related to the exercise and vesting of equity-based incentive awards. The deductions related to the exercise and vesting of equity-based incentive awards is available to offset taxable income on our consolidated tax return. Accordingly, the non-cash tax expense calculated without the excess benefit totaling approximately $7.6 million in the first quarter of 2012 was credited to additional paid-in capital, not taxes payable. In addition, as of December 31, 2011 we maintained a full valuation allowance against our net deferred tax assets. The net deferred tax liability resulting from the acquisition of ADAPTIX, Inc. created an additional source of income to utilize against our existing consolidated net deferred tax assets. Accordingly, the valuation allowance on the majority of our net deferred tax assets as of 12/31/2011 was released, resulting in a first quarter 2012 financial statement income tax benefit of approximately $10.2 million, which decreased the net deferred tax liability established in connection with the acquisition method of accounting for the ADAPTIX, acquisition. As of March 31, 2012, taxes paid or payable totaled approximately $12.1 million, primarily comprised of foreign withholding taxes withheld totalling $11.8 million and other state related taxes payable. Looking forward for fiscal 2012, we expect MG&A, excluding non-cash stock compensation charges to be in the range of $25 million to $26 million including an estimate of the impact of variable performance based compensation costs. We expect non-cash stock compensation charges to average approximately $5.4 million per quarter and non-cash patent amortization charges to average approximately $5.1 million per quarter excluding the impact of any future 2012 patent acquisitions. For fiscal 2012, we estimate patent related litigation and licensing expenses to be between approximately $14 million and $15 million. From a balance sheet perspective, cash and cash equivalents and investments totaled $451.6 million as of March 31, 2011 as compared to $323.3 million as of December 31, 2011. Working capital increased to $431.1 million as of March 31, 2011, compared to $295 million as of December 31, 2011. Cash and working capital balances reflecting impact of the February 2012 common stock offering in which we raised net proceeds of approximately $219 million through the sale of 6.1 million of shares of our common stock. Net cash inflows from operations for the first quarter of 2012 totaled $49 million versus net cash inflows of $36.5 million for the first quarter of 2011. In the first quarter of 2012, we acquired five additional patent portfolios as compared to eight new patent portfolios in the prior year quarter. First quarter 2012 patent related acquisition costs totaled $152.1 million including the $150 million acquisition of ADAPTIX, as compared to $680,000 in the prior year quarter. Again, thank you for joining us for today’s conference call. And I will now turn it back over to Paul Ryan.
Paul Ryan: Thank you, Clayton. Operator, could you please open the call for questions?
Operator: Thank you, sir. The question-and-answer session will begin. (Operator Instructions) Your first question comes from the line of Mark Argento of Craig-Hallum Capital.
Mark N. Argento – Craig-Hallum Capital Group LLC: Hi, good afternoon.
Paul Ryan: Hi, Mark.
Mark N. Argento – Craig-Hallum Capital Group LLC: First question, I was wondering if you could provide any update on, I know you’re working towards potential second acquisition here with the capital you just raised. Any update there? And then second question, you felt any impact, have you seen any impacts now with this JOBS Act implemented and how is that affecting your business?
Paul Ryan: On the first, in the acquisition front. We’re in active negotiations on a number of patent portfolio acquisitions including the one that we have discussed previously. We expect there’s a pretty high probability, we’re going to close on one or more of those transactions that we have going on right now. And we’re fairly at bad stage, but other than that I can’t comment further. Other than saying, we’re seeing a lot of opportunities. We’re obviously going to maintain the discipline we have in the past. And if the pricing is right and if the deals are right, we think there’s enough deals that we can select the ones that make sense for our shareholders, so very active negotiations on multiple portfolios right now.
Mark N. Argento – Craig-Hallum Capital Group LLC: Then the JOBS Act, I know one of the issues was around the or issues maybe the change made in terms of multiple jurisdiction lawsuits, which is probably I guess not actually in the JOBS Act...
Paul Ryan: Well, that we got in the Patent Act.
Mark N. Argento – Craig-Hallum Capital Group LLC: In the Patent Act, so the...
Paul Ryan: Well, it really hasn’t have much impact, we as you know have long-term relationships with a number of law firms, who do not have a problem with filing individual litigations. The issue I think you’re talking about is the joiner issue, there has been a change where you used to be able to in a lawsuit on a patent matter, you include 10, 15 companies. And now you, you have to meet very strict standards or sue them separately, that’s really not an issue for our law firms in terms of doing that, actually we’re finding it driving business from kind of small MPEs who maybe more capital constrained and doing that, and it’s kind of driving more business or direction I think it’s the net effect of it.
Mark N. Argento – Craig-Hallum Capital Group LLC: Last question...
Paul Ryan: And also one of the positive aspects is, one of the delay tactics that people historically have used on the other side is a common different attorney, so if you can’t have them all in one litigation, of course it’s time to get individual counsel and often times focuses them earlier on negotiated settlements, take it all, pay only one law firm then they can drag it out longer. So actually we think it will be beneficial for us.
Mark N. Argento – Craig-Hallum Capital Group LLC: Great. And then last question in regards with ADAPTIX, clearly you guys did license deals right, shortly after signing that deal with a couple large tech companies. Have you been approached, are you getting any more incoming from large tech companies that are looking to participate more this clearing function that you guys are starting to offer?
Paul Ryan: Why don’t I let Matt Vella, our Executive Vice President, who is most involved in that answer that?
Matthew Vella: I mean, in short answer the answer to your question is, yes. We have been getting approached on ADAPTIX and we’re not doing negotiations with several companies about the ADAPTIX portfolio.
Mark N. Argento – Craig-Hallum Capital Group LLC: Are you starting to see these companies, are they starting to steer IP towards you or start to show you IP, they think it’s interesting as well or do you have to – are you typically approaching them with the IP?
Matthew Vella: I don’t want to comment about any one particular matter, even one particular portfolio, but I will say that a common recurring theme we’re seeing on our license negotiations for larger portfolios involves the perspective licensee bring their own IP to our attention.
Mark N. Argento – Craig-Hallum Capital Group LLC: Great. Thanks, guys, and congrats on a good quarter.
Paul Ryan: Okay. Thanks, Mark.
Operator: Your next question comes from Tim Quillin of Stephens Inc. Please go ahead.
Timothy Quillin – Stephens Inc.: Good afternoon. Nice quarter. The patent intake, the new patent portfolio was relatively low, I guess especially versus the strong fourth quarter intake you had about 15 portfolio coming in the door. What should we expect for the full year in terms of patent intakes, should that be – should we continue to focus on that as a key metric or since your elephant hunting maybe a little bit more, is it more of the size and not the number of patent portfolios that you’re bringing in that we should think about?
Paul Ryan: Yeah, unfortunately, we are getting a look at more and more very high revenue opportunities, but I would expect probably over the course of the year, brining 30 or 40, which has been around our norm. Again in a given 13-week period, we’ve got a lot of portfolios actually under contract right now, which we could close on that we’re finishing all of our due diligence, we have to do all the due diligence, so we’re really prepared to start licensing and enforcing as soon as we announce that publicly. So we’ve got a lot in the pipeline actually that are hours to close. We have the options to control them and close them, some very good portfolios. But yeah, you’re right; I mean portfolios like ADAPTIX, when you think about it, really three separate licensing programs into three different industries with 14 patent families. So even though that only accounts as one, you could account it as several. And the automotive portfolio is a world class portfolio developed by the same family who basically invented the safety airbag in the car. I mean very high quality portfolio, very deep, one of the biggest portfolios in the automotive industry. That one was on a 50-50 partnering arrangement. So we see no shortage of opportunities, so I wouldn’t make anything about our 13-week account on impact.
Timothy Quillin – Stephens Inc.: Got it. And then I was a little bit unclear with regards to where you stand on the specific acquisition that you referenced on the last conference call, when you’d signed the letter of intent. I know you’d started due diligence. Have you found anything in the due diligence process that has given you pause there?
Paul Ryan: Actually, we found things we like. All I can say is we’ve got active negotiations on that portfolio as well as a number of other portfolios right now. There is no shortage of opportunities. We are very fortunate. And if we can get certain things completed from a process standpoint; and in some cases, we still got to – we’re still arm wrestling over the final price and we’re going to maintain discipline. And given the number of opportunities we have, we can continue to revert that discipline. We want to make sure we can earn really good returns for our shareholders when we deploy capital. So, yeah, that one is still ongoing as well as actually since we last spoke a couple of very significant new ones as well.
Timothy Quillin – Stephens Inc.: And what’s you appetite or what’s the pipeline like for more recurring revenue royalty models?
Paul Ryan: Actually, some of the stuff we’re looking at in the pipeline, some of those actually have some existing licenses with them, which would automatically create ongoing unit royalties, which we like about some of those potential acquisitions, although, there is much more licensing to be done. So certainly, we have a view toward that and some of the acquisitions we’re looking at would come, would build in revenue streams, which I am sure some of our shareholders would like.
Timothy Quillin – Stephens Inc.: Right. And on the ADAPTIX licensing, I know you’ve filed a suit against, I want to say 16 different companies. Are there certain steps in the litigation process that you think will be leverage points or triggers for additional licensing there or what would you think in terms of time? I know you’ve talked about return, your rapid return of capital before you even talk about return on capital on that acquisition. So how quickly can you get back your initial capital outlay for the ADAPTIX patents?
Paul Ryan: I will let Matt Vella, our Executive VP of Licensing to answer. And I ask him the same question everyday.
Matthew Vella: I mean, well, let me practice everything I’d like to say by saying the obvious. I’m too explicit in telling you what we expect the trigger points to be, that will be a self-defeating prophecy right, because I’m sure a lot of people besides investors are listening in on this call or a transcript of this call. Having said, that there are natural points in a litigation that act as forcing functions for folks to look at their position and to access whether or not they want to take a license. And what we’re going to do with ADAPTIX is expand the number and quality of those points and it won’t just be through U.S. litigation. I think that’s all I am comfortable saying at this point.
Timothy Quillin – Stephens Inc.: Okay. And then just, Clayton could you give us any help with how to model tax rate for the rest of the year? Thank you.
Clayton J. Haynes: Sure, sure. I think as we’ve spoke on previous calls with respect to the U.S. GAAP reporting there from the standpoint of the availability of NOLs for purposes of recording tax expense for book purposes, we no longer have NOLs with respect to book taxes. We of course still maintain a fair amount of NOLs for purchases of our tax return. And so for the most part tax expense that’s going through our financial statements does not represent cash taxes payable, it's really just tax expense for GAAP reporting purposes. And so given that a tax rate for financial statement purposes, we expect to be somewhere in the 35% to 40% range for the rest of the year.
Timothy Quillin – Stephens Inc.: Perfect. Thank you.
Operator: Your next question comes from the line of Paul Coster of JPMorgan. Please go ahead.
Paul Coster – JPMorgan Securities LLC: Yes, thank you. Clayton just on the share count for second, I think you ended up with about 45.8 million shares on a fully diluted basis. So would it be correct to assume that the share issue remains on a – by the next quarter will be around about 48, 45, 49 million shares?
Clayton J. Haynes: Yes, that's a good estimate, yes.
Paul Coster – JPMorgan Securities LLC: Very good, thanks. The other thing is that you told about significant revenues from wholly-owned patents and revenues that did not require litigation, and so I guess, I am inferring from this that more than 50% of revenues originated from the large one-time settlements associated with ADAPTIX this quarter?
Clayton J. Haynes: We can’t talk about specific programs, but over the course certainly over 50% of the revenue was represented by non-litigated licensing settlements.
Paul Coster – JPMorgan Securities LLC : Okay, thank you. And then just strategically, I think there is so many variables here maybe just (inaudible), but you seem to be, its moved away from term deals and comprehensive deals to and moved away from partnering to a wholly-owned deals and then back again, what if anything should we infer from this in terms of strategies. Is there, do you have a vision of how this is going to end up or is it really just sort of making up as we go along and so, we’re exploring the best economic opportunities that arise?
Clayton J. Haynes: Well, as you can see we can have pretty good quarters without doing any structured term licenses. In this case, we didn’t limit any potential future opportunities. I think, we expect over the course of this year, we will do some additional structured term deal, again it’s all about price and it’s about a point in time when a company makes the decision that they think that’s how they want to business with us and we think we are probably moving strongly in that direction with some major company. And that will be – yeah, if we can combine both, we love to be doing both look, we would love to have the kind of margins we did this quarter which were a little about high and as you can get given the fact that there was a big contribution from 100% owned portfolios and lot of once there was no participation in payment to law firms. So if we can combine both that’s the ideal world, we’d love to be doing more transactions like this and do some structured transactions as well and that would drive further earnings power for the company. So it isn't – if we shifted strategy it’s when the opportunities are right at the right price, that’s when we’ll execute on them and we certainly plan on doing more structured term deals.
Paul Coster – JPMorgan Securities LLC : All right, thank you very much.
Paul Ryan: Sure.
Operator: Your next question comes from Jonathon Skeels of Davenport. Please go ahead.
Jonathaon Skeels – Davenport & Company LLC: Hi, guys. Congrats on the quarter. I’ve got two questions, first one just on partnerships with large companies, you have signed a lot of these deals over the last 18 months, and I’d expect them to be meaningful revenue drivers over the next 6 to 12 months. Can you just talk about where you stand in terms of generating revenue from these? And then I guess to the extent you can be specific, maybe talk about Renesas, how many licensing programs you have there, and when should we start to see revenues from this portfolio?
Paul Ryan: With Renesas, I believe – I think we’ve gotten 10 distinct patent portfolios that we’ve selected and they’ve actually transferred control, and probably about six of them I guess are in active licensing and litigation, the other ones are being queued up. And in this last quarter, I think you saw some transactions there, that obviously in the semi – there was some obvious semiconductor companies that were highly likely that would include a Renesas patent, so you could assume they’re starting to make money in the relationship and that they were very happy with the relationship. So we’re still at the stage and we’ve got other portfolios actually we’re working with them, this is certainly not the end, but we’ve 10 of them, we’ve identified, put together portfolios and have begun programs where we have started generating revenues for them, and I think the first quarter was probably the most revenues we’ve generated for them so far. And same with some of the other companies, again other than Renesas, most of the large companies have chosen to not be public with their relationship with us, but we’re certainly beginning to generate revenues for them, and some of the licenses particularly the ones we did in the first quarter.
Jonathaon Skeels – Davenport & Company LLC: Okay, and then, maybe the second question just on ADAPTIX, it was clearly a positive contributor to results in the quarter, but what kind of does closing this acquisition had on the business overall, has it helped the partnership business in terms of discussions with potential licensees or you just seeing a lot more deals because of your involvement in that transaction, can you talk a little bit about?
Paul Ryan: Well, on the licensing side, I’d let Matt comment, because he works with all the licensing people, I don’t if you’ve seen it.
Matthew Vella: I think overall, what it has had an impact. I think it shows that we can source patents in a different way than we’ve done in the past, and I think there is certain deal flow that we are really getting a serious look at that we wouldn’t have gotten a serious look, but for the demonstration of our ability to build on a portfolio like that. So I mean in a nutshell, yes, it has impacted the deal flow we see on the patent sourcing area. I think the second thing it does, there is a halo effect that, that results when you essentially license a very, very high power portfolio, and we’ve seen this with some of our other pervious high-powered portfolio, where the fact that we can license the portfolio and that significant encourages the perspective licensee in our portfolio to take care of all matters outstanding with our family of companies at the same time or at least several matters at once. So I think really the two big impacts that ADAPTIX has had on our business day-to-day.
Paul Ryan: Yeah, the one of the impact definitely on the intake side, now that we’ve done a transaction of that size where I think we’re seeing every deal that is in the market.
Jonathaon Skeels – Davenport & Company LLC: Thank you.
Operator: (Operator Instructions) Your next question comes from the line of Daniel Gelbtuch of Cantor Fitzgerald. Please go ahead.
Daniel Gelbtuch – Cantor Fitzgerald: Hey guys, great quarter. Just wanted to get a clarification, you mentioned that 50% or was it above 50% that came from non-litigated deals?
Paul Ryan: Above.
Daniel Gelbtuch – Cantor Fitzgerald: Just above. Okay, and you mentioned there was a comp, I didn’t catch what the comp was, it was 25%, at what point?
Paul Ryan: For 2011, we’ve been running about, but actually we’ve been running at 10%, about 20% in 2010. And we jumped it up to 25% of our revenues in 2011 where from portfolios we license without any litigation. Certainly, it’s trending in the right direction in the first quarter, we went substantially higher than that, and hopefully that will be a continuing trend because that creates great margins and it’s great bottom line.
Daniel Gelbtuch – Cantor Fitzgerald: Okay, and with regard – getting back to Renesas, obviously there were a few semiconductor related deals in the first quarter, are these identifiable in terms of which LLCs they are or is this, you just have to stay in the dark on this?
Paul Ryan: Yeah, we don’t identify by LLC name, but you can see from the licensee, if you just click our website, the companies we licensed you’ll see some semiconductor companies and those obviously will probably include Renesas patents.
Daniel Gelbtuch – Cantor Fitzgerald: So like for example, Integrated Silicon or SK Hynix could be?
Paul Ryan: Yeah, those are the company share. Yeah.
Daniel Gelbtuch – Cantor Fitzgerald: Okay, excellent. I think that’s basically, thank you very much.
Paul Ryan: Okay. Thank you, Daniel.
Operator: Your next question comes from Walter Ramsley of Walrus Partners. Please go ahead.
Walter Ramsley – Walrus Partners: Thank you. Congratulations Paul, another great quarter. Got a question for Clayton actually, about the foreign taxes and how that might be handled in the future. Is there some strategy there to try to locate those payments in lower tax domiciles or this is kind of take them where your get them?
Paul Ryan: No, no certainly not. No, we certainly are aware of the issue and over the years have taken a look at a number of potential strategies that we can employ with respect to the burden that foreign withholding taxes presents. So certainly, in the current quarter we’ve incurred some foreign withholding taxes, but expect to be able to utilize the ensuing foreign tax credit to offset to tax obligations in the future.
Clayton J. Haynes: Yeah, going forward, there are certain countries that just automatically have withholding. If you do a license and they pay you money that country withholds some money they don’t get to see. The good news is, if you’re a tax paying company you can use it as a credit by the end of the year and in an effect retrieve the capital that’s been withheld. And so hopefully that will be the case going forward. A year ago or so, when we weren’t profitable yet, then they actually hit our bottom line, but now if we stay profitable those get credited against taxes due and so it shouldn’t be an issue for us.
Walter Ramsley – Walrus Partners: Okay. And as far as the United States end of withholds, or how did that shift to the headquarters in Texas, saved the company any money?
Clayton J. Haynes: Well certainly not, I’m paying taxes but we’ve got a significant groups in both places, but yeah – it depends on the geographic location strategically for certain employees and for certain companies that we’ve recruited, they’ve preferred to go there. So it’s enabled us from a recruitment standpoint to offer people alternatives to the California personal taxes situation.
Walter Ramsley – Walrus Partners: Okay.
Clayton J. Haynes: Fully taking advantage of.
Walter Ramsley – Walrus Partners: All right, and just one last thing, I don’t know if you can comment on this, but in Acacia’s view, does Apple Computer infringe on any of the company’s patents, and if it is, what are you doing about it?
Clayton J. Haynes: If they were, they would be at a current litigation or we couldn’t comment about it if we haven’t filed the litigation yet. But obviously, we have a number of publically recorded litigations with Apple currently.
Walter Ramsley – Walrus Partners: Okay. Thanks very much and congratulations.
Clayton J. Haynes: Thank you.
Operator: This will conclude the question-and-answer session. I will now turn the call back to Mr. Ryan.
Paul Ryan: Thank you very much. I want to thank you all for being on the call with us today. If you got any specific questions, please give us a call, and if not, we’ll look forward to speaking to you next quarter. Thanks.
Operator: Ladies and gentlemen, if you wish to access the replay for this call, you may do so by dialing 855-859-2056 or 404-537-3406 with the confirmation code 66125760. This concludes our conference for today. Thank you all for participating and have a nice day. All parties may now disconnect.